Operator: Hello, and welcome to P10 Fourth Quarter and Year-End 2023 Conference Call. My name is Josh, and I will be coordinating your call today. At this time, all participants are in a listen-only mode. After the speaker presentation, there will be a question-and-answer session. As a reminder, today's conference call is being recorded. I will now hand the call over to your host Mark Hood, EVP of Operations and Chief Administrative Officer. Mark, please go ahead.
Mark Hood: Good afternoon, and welcome to the P10 fourth quarter and year end 2023 conference call. Today, we will be joined by Luke Sarsfield, Chief Executive Officer and Amanda Coussens, Chief Financial Officer. Before we begin, I'd like to remind everyone that this conference call, as well as the presentation slides may constitute forward-looking statements within the meaning of the federal securities laws including the Private Securities Litigation Reform Act of 1995. Forward-looking statements reflect management's current plans, estimates and expectations and are inherently uncertain. Actual results for future periods may differ materially from those expressed or implied by these forward-looking statements. Due to a number of risk factors and uncertainties that are described in greater detail in our earnings release and in our periodic reports filed from time to time with the SEC. The forward-looking statements included are made only as of the date hereof. We undertake no obligation to update or revise any forward-looking statements, as a result of new information or future events except as otherwise required by law. During the call, we will also discuss certain non-GAAP measures which we believe can be useful in evaluating the Company's performance. A reconciliation of these measures to the most directly comparable GAAP measure is available in our earnings release and our filings with the SEC. I will now turn the call over to Luke.
Luke Sarsfield: Thank you, Mark. Good afternoon to everyone, and thank you for joining us. On our call today, I'm going to provide an overview of our 2023 performance, share some key observations from my first four months as CEO and lay out our plan for the year ahead. P10 delivered strong fourth quarter and full year operating results in 2023, which demonstrated the strength of our strategies and our position as a leading specialized private market solutions platform. In 2023, we generated double-digit top line growth and strong profitability. For the full year, fee-paying AUM increased by 10%. Revenues increased by 22% and adjusted EBITDA rose by 16%. It bears repeating P10 surpassed its two-year gross fundraising expectations of $5 billion months early. And by the end of 2023, we had raised an incremental $2 billion above our original target. Despite the underlying strength of our platform and our positive financial results, since going public in 2021, we continue to face pressure on our valuation. Across most metrics, we trade at a meaningful discount to our alternatives peer group. While we believe this presents a compelling entry point for investors today, we are focused on closing that relative valuation gap through strategic execution underscored by transparent communication. We believe that as we articulate and execute on our new strategic initiatives, the market will take notice and reward shareholders. When we talk about our ownership base, it's important to note that P10 employees make up the largest ownership position in our shareholder register. This is a reflection of our collective conviction in the intrinsic value of our platform. We are firm believers that this ownership stake results and strong alignment between the Company and our broader shareholder base. During the fourth quarter, we bought back 859,600 shares at an average share price of $9.74. Further, our Board of Directors has approved a $40 million expansion of P10's current share repurchase program with $10.6 million remaining on our previous 20 million buyback authorization. We now have over 50 million available for repurchases. We have never been more confident in the franchise and its future and are evaluating every possible avenue to deliver long-term value for our shareholders. Since being appointed CEO in October, I have had the opportunity to holistically engage in almost every aspect of P10's operations that has allowed me to gain a deeper understanding of the organization. It was important for me to get to know our teams and equally as critical for them to get exposure to me. I spent the last two months of 2023 on a listening tour across a broad array of constituencies visiting with them in person hearing their perspectives and gaining insights as to what P10 does well and learning how we can continue to enhance the organization and its processes. In addition to visiting with each of our strategies in person and engaging with our employees. I had the privilege to spend time with many of our clients and limited partners both current and prospective as well as our investors and analysts. With the benefit of that insight, I can say with confidence P10 is a world-class business made up of the leading minds in the middle market alternative investment space. Moreover, our managers all have a world-class track record of investing excellence that has resulted in high levels of trust with our LPs. Trust is not something we can buy or create in the short term I take that trust very seriously and we plan to build on the immense credibility our managers have achieved in this next chapter of our growth. The solid foundation that has been built to-date will form the basis of our success going forward. As we look to 2024 and beyond, our strategic priorities are as follows. First, institutionalize our platform and optimize our corporate level organizational structure. Second, drive increased organic growth by expanding our existing client franchise through programmatic cross-selling and strategic partnerships. Third implement a robust disciplined and process-driven approach to inorganic growth. Fourth generate operational efficiencies through incentivizing collaboration and leveraging data insights, and finally enhance our shareholder communications with an eye to greater visibility and transparency. These priorities set the stage for an exciting 2024 as we invest to accelerate profitable growth in 2025 and beyond. We have aggressive goals with a roadmap to achieve them executing on our plan will not occur overnight but progress will be evident as we report each quarter. We also plan to share more about our long-term strategy at P10's first Investor Day in the fall of this year. As I said at the beginning of the call P10 employees are firmly aligned with our shareholder base when we execute on this strategy all P10 stakeholder's benefit. Now, let's dive a bit deeper on each of our priorities. First, we are going to institutionalize our platform and optimize our corporate level organizational structure. In a trust and performance business, our people are our greatest assets and we must set up an appropriate structure to drive success and accountability in this next phase of our growth. With that in mind, I would like to thank our retiring Chief Operating Officer, Fritz Souder for his contributions to P10. He was a founding partner at RCP and has done an outstanding job for our limited partners, our shareholders, and our employees. We thank Fritz for all he has done and wish him the very best. Our go-forward corporate level organizational structure has four key functional areas. Each led by a Senior Executive Vice President level leader reporting directly to me. Our outstanding EVP, CFO and CCO, Amanda Coussens will continue to lead the finance, audit, accounting, legal, and compliance teams. Amanda's contributions to P10 cannot be overstated as she has helped build the strong financial and compliance functions that have positioned P10 for continued organic and inorganic growth. To further augment, our legal and compliance framework. She will lead the external search to identify and recruit General Counsel and Chief Compliance Officer to further enhance our P10 control framework. Mark Hood has been elevated to the role of EVP of Operations and Chief Administrative Officer. In this newly created role Mark will oversee our operations, data and technology, human resources, public relations and communications and he will continue in his oversight of our Investor Relations function. Mark has been foundational to P10 since its IPO and I'm incredibly excited about his expanded role. Next, I'm thrilled to report that we have hired a world-class professional to serve as our EVP Head of Strategy and M&A. Arjay Jensen is an incredibly talented seasoned professional with over 20 years of experience at Goldman Sachs, Guggenheim Securities, and Perella Weinberg Partners. Arjay Jensen will oversee our corporate strategy and lead our corporate development and M&A activities, inorganic growth will be a core growth driver for P10 Arjay will be instrumental in building a scalable M&A blueprint identifying key strategic opportunities for P10 and executing on M&A transactions. Additionally we are going to continue to invest in our client franchise to lead this effort. We are seeking an experienced industry veteran. This person will oversee our client organization, including client relationships, distribution, marketing and product development, and we'll work closely with client leaders across our various strategies. As we scale the platform, we're going to build a best-in-class distribution network for our products across strategies. We strongly believe the head of distribution will be critical to maximizing value of each client relationship. Given the importance of finding the right person for this role, we have retained a leading recruiting firm with deep expertise in this area and we are working closely with them in earnest to find the right leader for this function. Second, we plan to drive increased organic growth by expanding our existing client franchise through programmatic cross selling and strategic partnerships. P10 is fortunate to have a large and growing global LP base and we need a scalable and replicable process for expanding our influence with current and prospective LPs. Our new Head of Distribution will be responsible for building this framework to demonstrate progress against our goals. We intend to provide additional details on this topic throughout 2024 culminating at P10's inaugural Investor Day this fall. Third, we are implementing a robust disciplined and process driven approach to inorganic growth. My background is in deal-making and in alternative asset management. I've spent decades doing those two things at the highest level and strongly believe that we are positioned to execute deals on a global scale. We plan to increase our footprint which will also enhance our relationship network. This will mean navigating new jurisdictions and regulations and that's where we're going to be selective, but opportunistic in this pursuit. As our Head of M&A, Arjay Jensen will leverage his vast experience to reaccelerate our M&A engine. Fourth, we plan to drive operational efficiencies through incentivizing collaboration and leveraging data insights. As we focus on accelerated growth in 2025, we need to ensure our operational structure is optimized and designed to encourage efficiency and collaboration across our strategies. We also plan to share more data with the investment community in a format more aligned to our peers. We will communicate how we are leveraging the collective strengths of our platform more regularly. Finally, we plan to meaningfully enhance our shareholder communications with an eye to greater visibility and transparency. I believe that in order to assess the progress we are making against these previous four initiatives. The investment community has a clear and understandable framework through which to evaluate P10's performance both on an absolute and a relative basis. As such we are going to begin rolling out KPI.s that allow our key stakeholders to get their arms around the huge opportunity we're capitalizing on. We will have more to report in future quarters as we work through specific details with our audit partners and Audit Committee and we look forward to updating you appropriately. Now let's turn to our outlook for 2024. Starting with fee-paying AUM, we anticipate we will organically raise more than 2.5 billion of gross new assets across the platform. We expect double-digit revenue growth. That is driven both by this fundraising activity as well as positive fee rate dynamics. We also hope that in 2024 we will announce at least one strategic transaction. As it relates to adjusted EBITDA margin, we expect margins to average in the mid 40s excluding the effect of acquisitions. There are two dynamics at play here that I'd like to highlight. First is an ongoing mix shift within our existing portfolio of strategies. As we have previously noted some of our newer and faster-growing businesses such as Bonaccord, Park and WTI have lower core adjusted EBITDA margins than other parts of our business and the overall margin will continue to reflect this evolution. The second influence on margins is the critical and foundational human capital investments we are making in the business. We expect these investments to drive core growth and provide a high ROI for investors. Aas we move into the new year we will begin using the common descriptor FRE or fee-related earnings in our financial reporting. Before I hand the call over to Amanda, I want to acknowledge some of the recent noise in the marketplace regarding a previously disclosed related party transaction with Crossroads. In step with enhanced transparency we want to speak directly and clearly on this matter. The transaction was reviewed, approved and disclosed in keeping with the appropriate governance controls P10 has in place. P10 not invest any capital in Crossroads. The institutional investors who did invest in Crossroads did so on a non-discretionary basis and conducted their own rigorous due diligence. The transition of our founders and former co-CEOs had absolutely nothing to do with the related party transaction. Robert Albert and Clark Webb will continue in their current roles as Executive Chairman and Executive Vice Chairman respectively. Finally, the committee of our independent directors commissioned Willkie Farr & Gallagher, a third-party law firm to conduct a comprehensive investigation of the transaction. The committee, the broader board and the law firm all found our governance provisions were properly followed. To close, I want to remind shareholders that the fundamentals of P10’s business remain exceptionally strong. While we view this year as a table setting a year, ahead of acceleration in 2025 and beyond, we are a world-class platform that has momentum across world-class strategies. We are committed to transparency and delivering our investors transparent disclosure. With that, I'll turn the call over to Amanda to further review our financial results.
Amanda Coussens: Thank you Luke. In the fourth quarter fee-paying assets under management were $23.3 billion, a 10% increase on a year-over-year basis in the fourth quarter $860 million of fundraising and capital deployment was offset by $297 million and step-downs in exploration. In the first half of 2024, we estimate $1.2 billion and step-downs in explorations. For the second half of 2024, we estimate an additional $300 million. Revenue in the fourth quarter was $63.1 million, an 8% increase over the fourth quarter of 2022. Year-over-year revenue increased from $198.4 million to $241.7 million, up 22%. Average fee rate in the fourth quarter was 109 basis points, driven by higher fee rates, direct strategies becoming a larger part of our fee-paying AUM. Before I continue with our results, I'd like to provide insight into a one-time event that impacted the performance of our venture equity strategy TrueBridge in the fourth quarter. If not for this event, we would have recognized an additional $3.1 billion of revenue and $2.7 million of adjusted EBITDA. TrueBridge Global Premier-1 or TGP-1 was raised in 2022 with the objective of investing and all funds raised by an undisclosed managers global platform across key vintages, 2022 and 2024, 2025 TrueBridge closed TGP-1 with a total of $275 million of external LP capital, $250 million, we were confident of deploying and $25 million for reserves. TGP only charge management fees on the $250 million at a 1% rate. TGP-1 deployed just under 40% of its total fund size and the 2022 advantages with the remaining 60% planned for 2024 2025 vintages and reserves. In late 2023, the undisclosed manager announced it would be separating a global platform by spinning out its India and China operations into their own independent firms. The TGP-1 mandate did not allow investments in these new independent firms. As a result we recommended that LPs vote to release all TGP-1 LPs from their uninvested capital and we distributed a consent election to that effect. The management fee from inception will be revised based on this new smaller fund size. In addition to preserve goodwill with our limited partners, we have waived 50% of the recalculated management fee from inception June 2022 to December 2023. Turning now to our other strategies. In the quarter, we had 12 funds in the market and saw broad participation across our platform. Our private equity strategies raised and deployed $324 million, our venture equity strategy raised $299 million. Our credit fleet raised and deployed $209 million, also team contributed $28 million. P10 continues to benefit from strategies with long track records of generating durable alpha and offering best-in-class investment opportunities to our global investors. Operating expenses in the fourth quarter were $57.7 million, a 10% increase over the same period a year ago. For the full year 2023, operating expenses were $220.8 million, a 43% increase over 2022. The increase was primarily driven by additional compensation benefits and non-cash stock-based compensation expense related to the acquisition of Bonaccord, Hark and WTI. GAAP net loss in the fourth quarter was 1.9 million, a 139% decrease when compared to the year ago period. On a year-over-year basis, GAAP net income decreased from $29.4 million to a net loss of $7.8 million. The GAAP net loss is primarily attributable to compensation expense and non-cash stock-based compensation related to the CEO transition and the acquisitions of Bonaccord Hark and WTI. Adjusted EBITDA in the fourth quarter was 30.7 million in line with $30.8 million in the fourth quarter of 2022. For the year, adjusted EBITDA grew from $106.8 million to $123.6 million, a 16% increase. For the quarter, our adjusted EBITDA margin was 48.7% and for the full year it was 51.1% In the fourth quarter, adjusted net income or ANI was $25.5 million, a 7% decrease over the $27.3 million reported in the fourth quarter of 2022. For the year, ANI increased from $97.9 million to $102 million equaling a 4% increase. Fully diluted ANI EPS on a year-over-year basis grew 2% to $0.82 per share. Cash and cash equivalents at the end of the fourth quarter were $30.5 million. At December 31, 2023, we had an outstanding debt balance of $292.6 million and $71.8 million available on the revolver. As of today, we have $273.6 million in outstanding debt was 90.8 million available on the credit facility. We also continue to pay our quarterly dividend for Class A and Class B common stock. We have declared a dividend of $.0325 per share payable on March 26, 2024 to stockholders of record as of the close of business on March 11, 2024. Finally, as of December 31, 2023 our Class A shares outstanding were 57,622,895 and Class B shares outstanding were 58,474,267. Thank you for your time today, and we look forward to building strong momentum in 2024 as we seek to accelerate growth in 2025. I'll now pass the call over to the operator to begin the Q&A session.
Operator: Thank you. [Operator Instructions] Our first question comes from Michael Cyprys of Morgan Stanley. You may proceed.
Michael Cyprys: Great. Thank you. Good afternoon. Good evening. Thanks for taking the question. Luke, I hope to take you back to your commentary on the listening tour, hoping you might be able to elaborate on some of the key takeaways that you had from your listening tour over the past couple of months. Curious what stood out -- what areas could you enhance the organization in terms of processes? And as you think about accelerating growth, what do you see some of the key levers to pull? Where do you -- where are you looking to lean in and invest more as you look out over the next couple of years for P10? Thank you.
Luke Sarsfield: Thanks Michael. Appreciate the question. So I would say, as I mentioned in the script. I think from the listening tour perspective, the first and most compelling thing that came away almost universally was the incredible strength of our investing franchises and the incredible kind of talent that we have in every one of our investing strategies. That was first and foremost. The second thing I would say was kind of the trust and confidence that LPs have and continue to place in us and our ability to continue to drive and grow that LP base is really compelling. And the third, I would say, is the broad-based desire and alignment across our organization to do the foundational work that we've talked about here. And obviously, with the hope that the end result in that will be a meaningful uplift in our share price over time as we talked about and sort of the diminution or the elimination, frankly, at that discount that we've had relative to the peers. And so, as we think about the growth perspective, right, just sort of fundamentally, there are two main areas where we want to drive fundamental growth. One is organic. And as I mentioned, we're going to be leaning in hard in terms of being able to do that in a more comprehensive way. And we really need kind of a foundational leader to work with me to help us do that. And so as I mentioned, we're out aggressively looking and recruiting for a head of marketing, a head of distribution that's going to help us drive that. And then I think from there probably will continue to evaluate how we do that in the best most impactful and highest ROI way. But I think really having a key leader in that effort is foundational and critical. And then you heard me talk about inorganically, how we really want to drive the machine, and really kind of live up to the promise that we made at the time of the IPO that we would do the right appropriate value-enhancing strategic deals. And I'll just say, I have a background in that, I'm thrilled that we were able to recruit a world-class talent like RJ to help with that. And I think collectively, we're going to drive that. And then I think the third place, we're going to continue to look, is just across the breadth of our platform. Obviously, we have the benefit of scale breadth, and we want to leverage those economies, and we want to use that in a way that's sort of enhancing for each of our individual strategies and also for the P10 platform as a whole. But those are kind of my high-level takeaways. And those are kind of the high-level things as I mentioned on the call that we're going to do to really invest to reaccelerate growth.
Michael Cyprys : Great. Thanks. And just a follow-up question on fundraising, I think, you mentioned $2.5 billion expectation for fundraising here in 2024. Just hoping you could help unpack some of the key contributors for that what are you expecting in terms of fund scaling at this point? Any sort of contribution at this point from SMA that you're expecting embedded in that 2.5 billion number? And then what can we expect in terms of deployment that I imagine would be incremental to that 2.5 relative to current dry powder levels? Thank you.
Luke Sarsfield: Yes. So all good questions. And so just to give a little more flavor on it, right. We are out in the market with a broad based group of funds this year, as we are most years, right? And so we're kind of out with a fund in virtually all of our strategies. I think actually this year in all of our strategies 15 funds in total, some cases, we're raising one large flagship fund. In other cases, we're raising multiple funds targeted across the platform. And I would tell you, although, I think, it's probably too early to call the turn, I think, the dynamic in the marketplace among LPs, it feels a little bit better right now than it probably has over the last couple of years. I think that's both the recognition that there are some attributes of the space we play that are protected and attractive. And probably also just a broader view on you know that the capital markets generally are doing better. And so that probably leads into kind of a better fundraising environment. But we're really excited about what we're going to be out with. We do think to your specific question that there is really an ability of ours to do kind of broader-based things across the platform, and whether that comes to your question in SMA format or otherwise, the specific form to be determined. But I think the opportunity to engage more broadly with more LPs in a more diverse way across the P10 platform is a big opportunity set for us. It's something we're really orienting ourselves towards. And I think the whole idea of how you measure our success on that, Michael, we're going to be coming back out as we mentioned with what I would call augmented enhanced KPI's so that you and we can measure monitor and track that progress.
Michael Cyprys : Great. And just any views on the scaling of funds in 2024 and views on deployment which is that incremental potentially to the 2.5?
Luke Sarsfield: Yes. Look, I would say, look, we always think about opportunities to scale things. And as you know, many of our funds we recognize on uncommitted, but some we recognize on deployed. And so obviously, if we find ourselves in a more robust deployment environment that will create some upside as it might in any scenario. I would say, look, I don't think our orientation to deployment has fundamentally changed, we are very focused on being smart and opportunistic. And to the extent that there are dislocated opportunities, and we see things that we can take advantage of, we're clearly going to lean in on those. Clearly, some of our strategies are also, what I would say somewhat attuned to the type of market environment, we're in. I think about some of our credit strategies. I think of our GP Stakes strategy, as clearly things that are a secondary strategy as well, as clearly things that are very attractive in terms of the market opportunities we're seeing and in those cases we're obviously not going to be shy about appropriately deploying capital in a way that generates value for our LPs.
Michael Cyprys : Great. Thank you very much.
Operator: Thank you. One moment for questions. Our next question comes from Kenneth Worthington with JPMorgan. You may proceed.
Kenneth Worthington: Hi. Good afternoon and thanks for taking my question. Maybe Q first for Amanda, one, on the fee rate, fee rate was 109 basis points this quarter. I think you mentioned some mix changes influenced the fee rate here, given the funds kind of rolling-on and rolling-off, what is sort of the range of fee rate we could likely expect for 2024?
Amanda Coussens: I believe that, the fee rate that we're continuing to guide towards is about 105 basis points.
Kenneth Worthington: Okay. So no change here, despite the pop-up in the fourth quarter?
Amanda Coussens: Yes.
Kenneth Worthington: Okay. And then, you mentioned, .5 billion of step-downs in 2024. That's not that different than the level of step-downs we saw last year. I think last year was negatively impacted by the step-down of like the older the more recent vintage of WTI. So I guess, why so large in 2024 and is this really kind of the right pace for step-downs as we look forward into the future?
Amanda Coussens: Yeah. We would expect overall that our step-downs will be about 5.3% which for 2024 versus 7.1% of overall fee-paying AUM for 2023. Could that help kind of explain the difference?
Kenneth Worthington: Okay. And is 5.3% sort of the right pace generally more or less into perpetuity? Or is there anything unusual good or bad about the pace in 2024?
Amanda Coussens: No. I believe that is the correct pace going forward, yeah.
Kenneth Worthington: Okay. And then, one last one for Luke, so that you started or in your prepared remarks you mentioned the stock had struggled.
Luke Sarsfield: Yeah.
Kenneth Worthington: I guess this is in part due to the perception of Crossroads by. Can you tell investors to what extent has Crossroads made its way into conversations with your investment customer? So like the customers of RCP and hark and WTI and sort of the individual managers. Is it just kind of a public shareholder issue? Or is this also kind of coming up in the fund raising or relationship conversations you have with your customers?
Luke Sarsfield: And just so I understand the question. You mean has it come up in our dialogue with the underlying LPs of our various strategies? Is that that correct?
Kenneth Worthington: Yeah. That's what I was really trying to say.
Luke Sarsfield: Okay.
Kenneth Worthington: And I asked it poorly.
Luke Sarsfield: No, no. You asked it fine. I got the point. Look, I would say, thankfully, in many ways it really hasn't come up. We had -- I would say a couple inquiries around it that we responded to in a way that was very consistent with the way that we've responded to it in other forums including with our public investors. And I think the good news is our LPs have known us for a long time. They put a lot of trust in us. And I think they really know our individual managers and in most cases have been with us for a long time across multiple years, across multiple vintages. And so I think they know that we do world-class business in a world-class way and they're focused on that. And so I think again, that's -- it really has not in large part Ken and I hope to goodness it stays that way.
Kenneth Worthington: Okay. Great. Thank you.
Operator: Thank you. One moment for questions. Our next question comes from Mike Brown with KBW. You may proceed.
Mike Brown: Great. Thank you for taking my questions. I wanted to expand on the capital allocation strategy here. So I'm trying to parse through the buyback and the M&A commentary. I guess my question would be how do you get back into the M&A market at your current valuation levels, is that effectively on hold until you start to narrow the discount that you mentioned versus peers? And I guess if that's the case, does that mean you'll be leaning on the buybacks more significantly near-term? And I guess, what would be kind of the right point where you are you feel like your currency is back to a level that some could be more effective for M&A?
Luke Sarsfield: Well, let me, I'll start, if I could. Mike, thanks for the question. I'll start just with on what I would call a broader M&A philosophy and then I'll turn it over to Amanda, to go through sort of how we would think about the capital allocation waterfall. But your question is the right one does our current valuation impact our ability to do M&A? And I would say, I think it would in certain instances, but it would not in many other instances, right? And so the good news is, point one, we have broad and robust access to capital. Equity capital is one part of that. But we have, as Amanda went through meaningful access on the revolver and I think just meaningful credit capacity more broadly that's untapped at this point. And so that would create our ability to do M&A. I would say the second thing is not all M&A is necessarily going to come at valuations that are going to be somehow prohibitive to us. I suspect or parts of the M&A market given how robust it's gotten in the alternative space where that would be more of an impediment. But I think we're looking broadly, we're really focused. I think there are places where that would not be the case as much. And we think we will have ability to execute there. I also think it sort of depends on the size of the M&A deal you're looking at right? And so we may look at larger deals, but we may also look at a string of targeted kind of string of pearls acquisitions that would allow us to really drive incremental value in ways where we wouldn't have to pay into that kind of frothy part of the market. And so I want to be clear we are really focused on doing M&A, but we're really focused in doing it in the right value ROIC creating way for our shareholders. We're not going to do something frivolous with our hard-earned capital. We're going to be really disciplined, but we do think there are opportunities out there in the near-term even given where we trade. And with that I'll turn it to Amanda just to hit on some of the kind of broader capital allocation points.
Amanda Coussens: In general our priorities of capital allocation remain -- our priorities for cash flow remain the same. First dividends, M&A, buyback, and then paying down on the revolver to free up capital for future M&A. And as we said as of today we have $90.8 million on the revolver available. And given our free cash flow profile, we really are comfortable with a higher leverage ratio than where we sit today as well.
Mike Brown: Okay, great. Thank you. And then maybe another one for you Amanda on the margin outlook, margin came in at 51% for the year. If I heard correctly you guys are guiding to a mid-40s adjusted EBITDA margin for 2024. So, it sounds like a pretty large delta there and it sounds like you guys are considering maybe some more infrastructure investments. But I was wondering if you could maybe put a little finer point on that delta what's driving that difference?
Amanda Coussens: Yes, it's really it's -- there's an ongoing mix shift within our existing portfolio of strategies. Some of our newer and faster-growing businesses such as Bon Accord, Hark, and WTI have a lower core adjusted EBITDA margins than other parts of our business and the overall margin will continue to reflect this evolution. And I would say the second influence on margin is the critical and foundational human capital investments we are making in the business. We expect these investments to drive our core growth and provide a high ROI for our investors. So, it's really a mix of those two factors.
Mike Brown: Is your point at a certain point as you continue on your growth trajectory where the margin we'll actually begin to inflect higher again?
Luke Sarsfield: Well, I'd answer it this way and I'd say it depends, right, and it depends on a few things. One is obviously it would depend on M&A. This little presumes that we're running the platform as it is for the foreseeable future. As we've talked about we imagine that will probably not be the case and so anything we did from an M&A perspective would obviously have some impact and largely likely to be at least initially a margin-dilutive impact. I would say it also then depends on this question of relative growth rates, right? And so the question then becomes how is that relative growth rate? On the one hand, you want your faster-growing businesses to grow faster and growth is valuable even if that comes at a -- relatively lower, but still high margin versus the wider world and the wider opportunity set. We do think I want to be clear that some of the foundational investments we're making obviously they will be most impactful in the first year that you make them and then over time you will see the accretive benefit of those investments bearing fruit. The question then will be that accretive benefit relative to the ongoing mix shift that will still be happening on the forward. How does that trade-off? I don't know frankly today that we have perfect visibility on that. Some of it will depend on the relative growth rates and we're investing to grow everywhere. And so in some places we're looking to reaccelerate growth. And so look I would tell you I think the foundational investments we're making are going to be highly accretive to the franchise, highly ROI general to the franchise and will help us drive accelerating growth and margin on the forward with some of the offsets I just noted.
Mike Brown: Okay. Great. Thank you for taking my question.
Operator: Thank you. One moment for questions. Our next question comes from Benjamin Budish with Barclays. You may proceed.
Benjamin Budish: Hi, good evening and thanks for taking the question. I was hoping to revisit the revenue guidance. If we could just want to make sure I kind of have the details right? So it sounds like 2.5 billion plus of gross assets, 1.5 billion a step down. So that's about $1 billion of net fee-paying AUM growth with maybe some upside from deployment. So that's like a little less than 10%, but it sounds like if the fee rate in average can be 105, can you just kind of maybe explain how the you work out the on the double digit revenue growth. Maybe to start 
Amanda Coussens: I'm sorry. Ben, can you repeat the last part of your question make sure.
Benjamin Budish: Sure. With the with the gross on gross raising of 2.5 and the outflows of 1.5 over the course of the year. It looks like about like a billion from Q4 to Q4 of fee-paying AUM growth. So maybe like a little under 10% in terms of average fee paying AUM growth. And Amanda you mentioned earlier that the average fee rate should be about the same year over year. So I'm just trying to flip from that if I have that right to the double digit revenue growth you're expecting?
Amanda Coussens: Yes I think that the difference in catch up fees. We have some funds in the market that we would expect some, larger catch-up fees in 2024.
Benjamin Budish: Got it. That makes sense. And then any details on in terms of like pace of debt paydown. I think you talked about M&A obviously being at the top on capital priority. But just thinking about getting from the top line to the bottom line you've talked about the EBITDA margin. So just wondering what the interest rate or interest expense outlook looks like and maybe anything you can share on your expected cash tax rate?
Amanda Coussens: Yes, I would expect our cash tax rate to be very similar to what it has been in 2023. And generally I would say for interest other than additional M&A, I would expect our interest to be a bit lower. Of course, it depends on how much where how much stock buyback we have during the year. But otherwise, yes, the rate would be the only thing ultimately impacting from and stockpile.
Benjamin Budish: Got it. Okay. Thanks for the clarification. Appreciate it.
Operator: Thank you. One moment for questions. Our next question comes from John Campbell with Stephens. You may proceed.
John Campbell: Hey guys good afternoon. Just wanted to go back to the catch-up fees. By my math, I'm sure on maybe a 10 million benefit or so from 2023 to '22. And obviously that's 500 points or so of growth or 500 bps of growth a pretty big impact to margins as well. So first I guess is that math correct. And then secondly Amanda you talk to the expectation that it will be a little bit higher. You don't get your fees will be a bit higher than 24. I'm just going to see if that was relative to 2023 or if that's relative to kind of historical averages?
Amanda Coussens: So John, yes, you are correct. And the 10 million. And just to be really clear I think we typically state the catch-up fees for the quarter which they were 4.6 million for this quarter for Q4. And then for 2024, we expect them to be up about 60 million.
John Campbell: Doug you say six or 16.+ 16. Okay. So that would seem to be pretty impactful to margins. I guess given your maybe your commentary about some pressure on margins this year on mix shift, I guess it's not going to be mixed from the catch-up fees. I guess that's just product mix and then and to some extent or maybe it's to a larger extent than just the reinvestment across the board. Is that the right way to think about it?
Amanda Coussens: Yes, that's correct.
John Campbell: Okay. And then one more quick one for me. I don't know if you have this on hand. I think you guys do typically put this in the 10 K, but what was your weighted average duration of remaining AUM exiting the year?
Amanda Coussens: About seven years. Okay.
John Campbell: So step-up from about six last year. Okay. Great. Thank you.
Amanda Coussens: Thank you.
Operator: Thank you. I would now like to turn the call back over to Luke Sarsfield for any closing remarks.
Luke Sarsfield: Well, thank you and thank you all for joining us today and we really appreciate the opportunity to be with you. As we've tried to underscore in this call, we're building upon P10s solid foundation to deliver accelerated growth in the coming years. You've heard about our strategic priorities on today's call and we look very much forward to updating you on our progress incrementally throughout the year. I want to thank our entire team at P10, our employees, our managers and ultimately our LPs who all contribute to making this a world-class platform. We're incredibly excited for what's to come and we very much look forward to speaking with all of you in May.
Operator: Thank you for your participation. You may now disconnect.